Operator: Ladies and gentlemen, thank you for standing by. My name is Abby, and I will be your conference operator today. At this time, I would like to welcome everyone to the Essent Group Limited Third Quarter Earnings Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question and answer session. If you would like to ask a question during that time, simply press star one. If you would like to withdraw your question, press star one a second time. Thank you. And I would now like to turn the conference over to Phil Stefano. You may begin.
Phil Stefano: Thank you, Abby. Good morning, everyone, and welcome to our call. Joining me today are Mark Casale, Chairman and CEO, and David Weinstock, Chief Financial Officer. Also on hand for the Q&A portion of the call is Chris Curran, President of SM Guaranty. Our press release, which contains Essent's financial results for the third quarter of 2024, was issued earlier today and is available on our website at essentgroup.com. Our press release includes non-GAAP financial measures that may be discussed during today's call. A complete description of these measures and the reconciliation to GAAP may be found in Exhibit O of our press release. Prior to getting started, I would like to remind participants that today's discussions are being recorded and will include the use of forward-looking statements. These statements are based on current expectations, estimates, projections, and assumptions that are subject to risks and uncertainties which may cause actual results to differ materially. For a discussion of these risks and uncertainties, please review the cautionary language regarding forward-looking statements in today's press release, the risk factors included in our Form 10-K filed with the SEC on February 16, 2024, and any other reports and registration statements filed with the SEC, which are also available on our website. Now let me turn the call over to Mark.
Mark Casale: Thanks, Phil, and good morning, everyone. Earlier today, we released our third quarter 2024 financial results, which continue to benefit from our high-quality portfolio and the impact of higher interest rates on persistency and investment income. While higher mortgage rates have reduced overall mortgage originations, as a portfolio business, we are less reliant on transaction activity than others. As such, our results for the quarter continue to demonstrate the strength of our business model in generating high-quality earnings. Our long-term outlook for housing remains constructive, as the supply-demand imbalance and favorable demographic trends should provide foundational support to home prices. At the same time, the US labor market and consumers continue to exhibit resilience, which has supported economic growth and credit performance. And now for our results. For the third quarter of 2024, we reported net income of $176 million compared to $178 million a year ago. On a diluted per share basis, we earned $1.65 for the third quarter, compared to $1.66 a year ago. On an annualized basis, our return on average equity was 13% in the third quarter. As of September 30th, our US mortgage insurance supports $243 billion, a 2% increase from a year ago. Our twelve-month persistency was approximately 87%, relatively flat compared to last quarter, with nearly 65% of our in-force portfolio having a note rate of 5.5% or lower. While persistency has likely peaked, we expect that the current level of mortgage rates should continue to support elevated levels. The credit quality of our insurance in force remains strong, with a weighted average FICO of 746 and a weighted average original LTV of 90%. Credit performance in the third quarter reflected both the aging of our portfolio and the typical seasonality of default behavior. Our 2021 and prior vintages represent about half our portfolio, and home price appreciation should continue to mitigate ultimate claim experience for those cohorts. Newer vintages continue to perform in line with our expectations. On the business front, we are monitoring the potential fallout of Hurricanes Helene and Milton that impacted the southeast region of the country. Like Hurricanes Harvey and Irma in the second half of 2017, these storms have the potential to cause an uptick in delinquencies for the affected areas. While delinquencies may be higher, we remind you that mortgage insurance policies have an exclusion for claims if property damage is the principal cause for borrower default, and therefore, the ultimate P&L impact may be mute. Providing us with $363 million of fully collateralized excess of loss coverage, we were pleased with the execution and continue to be encouraged by the strong demand from investors in our program. We remain committed to a programmatic reinsurance strategy, which helps to diversify our capital resources while seeding a meaningful portion of our mezzanine credit. Cash and investments as of September 30th were $6.4 billion, and our new money yield in the third quarter was nearly 5%. The annualized yield for investments available for sale in the third quarter was 3.8%, up from 3.6% a year ago, and we note that higher yields in a growing investment portfolio generate incremental revenues for our business model.
Phil Stefano: We continue to operate from a position of strength with $5.6 billion in GAAP equity, access to $1.7 billion in excess of loss for reinsurance, and a PMIER deficiency ratio of 186%. Given our strong financial performance and capital position, we continue to take a measured approach to capital management. Objectives remain the same, rather to maintaining a conservative balance sheet, preserving optionality for strategic growth opportunities, and optimizing shareholder returns over the longer term. Now let me turn the call over to Dave.
David Weinstock: Thanks, Mark, and good morning, everyone. Let me review our results for the quarter in more detail. For the third quarter, we earned $1.65 per diluted share, compared to $1.91 last quarter and $1.66 in the third quarter a year ago. Our US mortgage insurance portfolio ended September 30th, 2024, with insurance in force of $243 billion, up $2.3 billion compared to June 30th and 2% higher compared to the third quarter a year ago.
Phil Stefano: Persistency at September 30 was 86.6%, largely unchanged from 86.7% last quarter. The premiums earned for the third quarter were $249 million and included $17.1 million of premiums earned by S and Re on our third-party business, and $17.7 million of premiums earned by the title operations. The base average premium rate for the US mortgage insurance portfolio for the third quarter was 41 basis points, consistent with last quarter. The net average premium rate was 35 basis points for the third quarter, down one basis point from last quarter. Investment income increased $1.3 million or 2% to $57.3 million in the third quarter of 2024 compared to last quarter, due primarily to higher balances. Other income in the third quarter was $7.4 million compared to $6.5 million last quarter. The increase in other income includes higher title settlement services income, partially offset by a decrease in the change in fair value of embedded derivatives in certain of our third-party reinsurance agreements. In the third quarter, we recorded a $1.2 million decrease in the fair value of these embedded derivatives, compared to a $732,000 increase recorded last quarter.
David Weinstock: In the third quarter, we recorded a provision for losses and loss adjustment expense of $30.7 million, compared to a benefit of $334,000 in the second quarter of 2024 and a provision of $10.8 million in the third quarter a year ago. At September 30th, the default rate on the US mortgage insurance portfolio was 1.95%, up 24 basis points from 1.71% at June 30th, 2024. Other underwriting and operating expenses in the third quarter were $57.3 million and include $14.8 million of title expenses. Expenses for the third quarter also include title premiums retained by agents of $9.6 million, which were reported separately on our consolidated income statement. Our consolidated expense ratio was 27% this quarter. Our expense ratio excluding title, which is a non-GAAP measure, was 18% this quarter. A description of our expense ratio excluding title and the reconciliation to GAAP can be found in Exhibit O of our press release. For the nine months ended September 30th, 2024, other underwriting and operating expenses excluding our title operations totaled approximately $131 million. We are revising our guidance for this metric from $185 million previously to approximately $180 million for the full year 2024, as a result of disciplined expense management, along with higher ceding commissions from quota share reinsurance transactions. As Mark noted, our holding company liquidity remains strong. As we discussed last quarter, on July 1st, we issued $500 million of senior unsecured notes with an annual interest rate of 6.25% that mature on July 1st, 2029. Approximately $425 million of the proceeds were used to pay off the term loan outstanding as of June 30th. Interest expense in the third quarter includes $3.2 million of expense associated with this repayment. At September 30th, 2024, our debt to capital ratio was 8.1%. Additionally, effective July 1st, we entered into a five-year $500 million unsecured revolving credit facility, amending and replacing our previous $400 million secured revolving credit facility. Combined, these transactions provide Essent with access to approximately $1 billion in capital. No amounts were outstanding under the revolving credit facility at September 30th, 2024. At September 30th, Essent Guarantee's PMIER deficiency ratio, excluding the 0.3 COVID factor, remained strong at 186% with $1.7 billion in excess available assets. During the quarter, Essent Guarantee paid a dividend of $58 million. The US mortgage insurance companies can pay additional ordinary dividends of $267 million in 2024. At quarter end, the combined US mortgage insurance business statutory capital was $3.6 billion with a risk to capital ratio of 9.7 to 1. Note that statutory capital includes $2.5 billion of contingency reserves at September 30th.
Mark Casale: Over the last twelve months, the US mortgage insurance business has grown statutory capital by $275 million, while at the same time paying $220.5 million of dividends to our US holding company.
David Weinstock: During the third quarter, SMRE paid a dividend of $87.5 million to Essent Group. Also in the quarter, Essent Group paid cash dividends totaling $29.5 million to shareholders, and we repurchased 170,000 shares for $9.6 million under the authorization approved by our Board in October 2020. Great. Now let me turn the call back over to Mark.
Mark Casale: Thanks, Dave. Our performance this quarter reflects the strength and resilience of our franchise. Our team continues to focus on executing our long-term strategy, which includes expanding our lender network, maintaining financial discipline, and evaluating potential growth opportunities. Looking forward, we remain committed to the buy-manage-distribute operating model and believe that Essent remains well-positioned in the current economic environment to deliver strong operating returns to our shareholders. Now let's get to your questions. Operator?
Operator: Thank you. We will now begin the question and answer session. If you have dialed in and would like to ask a question, please press star one on your telephone keypad to raise your hand and join the queue. If you would like to withdraw your question, simply press star one a second time. If you are called upon to ask your question and are listening via speakerphone on your device, please pick up your handset and ensure that your phone is not on mute when asking your question. Again, it is star one if you would like to join the queue. Your first question comes from the line of Terry Ma with Barclays. Your line is open.
Terry Ma: Hi. Thank you. Good morning. I think you addressed it a bit in your prepared remarks, but was there any quantifiable impact on the default rate or new notices this quarter from just hurricanes?
Mark Casale: Hey, Terry. It's Mark. There was a little bit, but it was pretty minimal, mostly coming from Beryl, not from the newer ones. We should definitely see some noise in the fourth quarter on those.
Terry Ma: Okay. Got it. So if I look at the rate of increase year over year in new notices, it's kind of accelerated each of the last three quarters. Are we starting to see the effects of kind of vintage seasoning from some of the larger post-COVID vintages materialize more? And I guess going forward, how should we kind of think about how that kind of rate or trajectory evolves?
Mark Casale: Yeah. I mean, I would look at it. We said this before. The portfolio is definitely seasoning. Right? The average age is thirty-two months versus historically was eighteen months. There's a little bit of seasonality in the third and the fourth quarter. And you also have to mix in, Terry, just the noise around forbearance. That probably exasperated both the number of new defaults and the cures. Right? People coming in and out of forbearance. That's the rule changed last November, December. So I think we're starting to see a little bit of a normalization of that. You know, looking forward, it's hard to tell. Again, we're still mostly tied to unemployment, and, you know, pretty strong portfolio. Here's an interesting fact for you though. Just when you kind of think through, you know, the provision, whether the fall's starting to grow. One, you know, they're right around six thousand defaults at the end of the quarter. We were roughly fifteen thousand at the end of last year. It's gone up, but it and I know you're talking about the ins and outs. But also take a step back with our defaults. I would say approximately seventy percent of the defaults, Terry, are twenty-one vintage and prior. The mark to market on those defaults is sixty-one percent. So even if they were to go to claim, the probability of us pushing cash out the door is pretty low. So I just trying to put it in context of the whole portfolio. And try to take a step back from the movement. Again, we should see seasoning. You may see increasing defaults, but the probability of claim, which is, you know, when cash leaves the door, again, I think it's probably pretty low.
Terry Ma: Okay. Got it. That's helpful. Thank you.
Operator: And your next question comes from the line of Doug Harter with UBS. Your line is open.
Doug Harter: Thanks, Mark. Just to touch on that last comment you made around probability of claim. Did you make any changes in kind of the claim rate assumptions in the quarter? Because, you know, by our calculations, you know, kind of the current year loss over the NODs that that rate seem to be higher. So just trying to understand that.
Mark Casale: No. No real change in the claim rate assumptions for the quarter.
Doug Harter: Okay. And, you know, in that you know, where you said seventy percent of defaults were twenty-one vintage or older, you know, any change in kind of the new notices in that in that mix, or is that been been relatively consistent?
Mark Casale: It's been pretty consistent.
Doug Harter: Okay. Thanks, Mark.
Operator: And your next question comes from the line of Bose George with KBW. Your line is open.
Bose George: Hey, Mark. Good morning. Actually, just a follow-up on Doug's question on the new notices. Are the loan sizes getting bigger? I mean, in terms of just because that the provision for, you know, is the way, you know, be calculated went up as well. So just curious how much loan size is impacting that.
David Weinstock: Yeah, Bose. Clearly, the loan sizes, you know, just in general with what we're doing in our insurance in force, the average, you know, with the GSEs raising, you know, what's eligible, definitely, our loan sizes have grown. And so, you know, a lot of what you're seeing, you know, and you can see this in our supplement, we're still reserving at around the same amount for early notices as we always have been. But, you know, clearly, what's going to impact that is the size of the loan when you're looking at a provision dollar number.
Mark Casale: Yeah. I mean, just to give you a sense of that, Bose, the average loan size for our insurance in force right now is, you know, right around two hundred and ninety thousand when, historically, it was probably two twenty-six. And you're also seeing that on the front end. Right? And then we talk about the insurance in force portfolio has been relatively, you know, flattish over the past years. You know, a lot of it caused by low originations. But the loan size of...
Operator: Ladies and gentlemen, thank you for standing by.
Mark Casale: And so well before COVID, kind of normalized housing, you know, we were right around between those two years, we averaged a hundred and ninety thousand units of NIW. So when you think about future growth in the portfolio, it has the potential for renewed growth. So it works both ways. Right? So you're going to see it in the losses, but eventually, you'll start seeing it around, you know, kind of the growth in a portfolio.
Bose George: Great. That's helpful. Thanks. And then just in terms of the commentary you made on, you know, we might see some noise around the storms. In Fort Hu. For those notices, do you provision for that since, you know, they will should be excluded from, you know, from the losses?
Mark Casale: We may. We haven't decided yet. We haven't seen wait. We'll have to wait to see the numbers come in. We did just to give you guys some color. Remember back in 2017 when we had the last storms, we ended up we did kind of set that aside, and I think ninety-nine percent of them cured. So again, we'll have to wait and let the defaults come in, and then we'll assess it from there.
Bose George: Okay. Great. Thanks.
Operator: And your next question comes from the line of Mihir Bhatia with Bank of America. Your line is open.
Mihir Bhatia: Hi. Good morning, and thank you for taking my question. I want to start on the claims on the default inventory. And I appreciate what you're saying, Mark, about them normalizing, increasing. But just quarter over quarter. Right? I mean, you're up almost two thousand in the default inventory. That's a bigger jump than we've seen just trying to understand, was there anything this quarter unusual, like, well, I guess maybe talk give us some view on, like, twenty-five or, like, just as things normalize, what should the default rate keeping normalized to?
Mark Casale: Mihir, our inventory default jumped fifteen hundred from September of twenty-three to December of twenty-three. So it's again, I think, you know, again, I can't do your job for you. I do think I think there's going to there's a lot of noise with the ins and the outs because of forbearance. So what we what you're really seeing is you're not seeing some of the cure activity come through because it's kind of working its way through forbearance. So it's more of a normalization of that. But I would say, yeah, given the environment and the seasoning, just again, thirty-two months, it wouldn't surprise me to see the defaults increase. But again, from a, you know, from a mark to market, I think we're relatively in a good position from claims. I think our loss provision for the quarter was twelve percent. So, again, taking a step back, you know, we never thought we'd run the business recession-free. I don't think we're in a recession or anything close to it yet. So, again, I think it's just normalization of the default inventory.
Chris Curran: Yeah. And I would just add, I think this is really normal seasonality. I mean, Mihir, if you look pre-COVID, generally, what we would see is increasing defaults in the second half of the year. Starting with the third, you know, in the third and fourth quarters, kind of picking out maybe in January and then kind of, you know, falling back in the first two quarters of the year. People catch back up. They get their tax refunds, and become current on their default. And I think this is just kind of, you know, we have had a lot of disruption from COVID, and the normal trend. I think this is starting to come back to normal seasonality.
Mihir Bhatia: Got it. And then maybe just switching just real quickly. On the investment side. It looks like the investments in corporate bonds, corporate debt securities has been increasing. Is that I know from a rating standpoint, it's still pretty similar. But is there has there been any change in philosophy, any like, what's driving that?
Phil Stefano: No. No. There's not I think what we're there, the change is really getting back to our normal mix. During kind of 2022 when short rates really increased, it was we thought that it was a good risk return in treasuries. And we kind of kept the portfolio relatively short and in those securities. And now what we've done over the past, you know, quarter plus is kind of get back into our normal mix of the portfolio. We've lengthened out the duration a little bit too, but it's really more a normal course of this. Not nothing special driving it.
Mihir Bhatia: Right. Okay. Thank you for taking my questions.
Operator: And your next question comes from the line of Melissa Wedel with JPMorgan. Your line is open.
Melissa Wedel: Good morning. I'm Melissa on for Rick today. I don't think I might have missed this, Mark. Did you elaborate or specifically quantify the risk in force in the Helene and Milton hit areas?
Mark Casale: No. We have not. We haven't really seen many defaults from that yet. We'll probably see some we most likely will see some in the fourth quarter, and we'll update everyone in February.
Melissa Wedel: Okay. Appreciate that. And then as we think through just going back to your comments on credit and not seeing some cure activity come through because of forbearance. Can you help us think about the timeline around the forbearance process and how that might just the timing of it might roll through and impact those numbers?
Chris Curran: This is Melissa. This is Chris. And your question pertains to the hurricane claims.
Melissa Wedel: Just to clarify, the forbearance.
Mark Casale: Are you referring to the COVID forbearance that ended last November? Just trying to get a sense.
Melissa Wedel: I thought your earlier comments were related to COVID forbearance in particular?
Chris Curran: Right. So I think Mark's point from earlier is that the forbearance process for the COVID default ended last November. And when you think about the term, you know, we're about a year out. So at this point in time, there will be no more COVID forbearance.
Mark Casale: Yeah. Melissa, it's Mark. It just made it easier because the way the forbearance worked, there's really no friction. You could just tell your servicer that you wanted forbearance and you could do it. Now there's obviously a lot there. You have to show you have to have right party contact. You have to talk to the borrower. So what we think we're going to see is less people go into forbearance just because they can and probably more require it. And as that works its way through the pipe, so to speak, you're seeing less cures too. So again, more of the normalization. We used to see just a lot of noise. I think you're going to see less of it. And to our point earlier, more normalization around kind of defaults and cures.
Melissa Wedel: Okay. Thank you for clarifying.
Operator: And we have no further questions at this time. I would like to turn the call back over to management for any additional or closing remarks.
Mark Casale: I'd like to thank everyone for joining today, and have a great weekend.
Operator: Ladies and gentlemen, this concludes today's call. We thank you for your participation. You may now disconnect.